Operator: Greetings, and welcome to the Flywire Corporation Fourth Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Akil Hollis. Please go ahead.
Akil Hollis: Thank you, and good afternoon. With me on today's call are Mike Massaro, Chief Executive Officer; Rob Orgel, President and Chief Operating Officer; and Mike Ellis, Chief Financial Officer. Our fourth quarter and fiscal year 2022 earnings press release, supplemental presentation and when filed associated annual report on Form 10-K can be found at ir.flywire.com. During the call, we will be discussing certain forward-looking information. Actual results could differ materially from those contemplated by these forward-looking statements. We will also be discussing certain non-GAAP financial measures. Please refer to our press release and SEC filings for more information on the risks regarding these forward-looking statements that could cause actual results to differ materially. Risk factors associated with our business and required disclosures related to non-GAAP financial measures. This call is being webcast live and will be available for replay on our website. I would now like to turn the call over to Mike Massaro.
Mike Massaro: Thank you, Akil, and thank you to everyone that is joining us today. We are pleased to share our Q4 and fiscal year 2022 results here with you all today. These results continue to show strong performance across the business. We are also eager to share our business priorities and financial outlook for 2023, as well, during this call. In a few minutes, Rob Orgel, our President and COO; as well as Mike Ellis, our CFO, will go into greater detail about our results during the quarter. But first, I will start with a few financial highlights. First, let's start with the fourth quarter. Revenue less ancillary services was $67.4 million, representing year-over-year growth of 47% or 57% on a constant currency basis. Adjusted gross profit for the quarter was $44.5 million, an increase of 40% year-over-year and adjusted EBITDA was $1 million for the quarter. As our Q4 results now cap off another great year for Flywire, I want to take a few moments to talk about some of the things we were able to achieve in fiscal year 2022, a truly exceptional year for Flywire. Starting with our fiscal year 2022 financial highlights. Flywire revenue, less ancillary services, grew by 47% or 55% on a constant currency basis. Our adjusted gross profit grew 40%, and our adjusted EBITDA was $14.9 million despite our record investment year. In FY 2022, we also added more than 590 clients across all verticals and now serve more than 3,100 globally. We moved more than $18 billion around the world. We saw significant growth in our travel vertical, more than tripling the revenue of this business. And we completed the acquisition of Cohort Go and continue to successfully integrate the WPM business, finishing the year with over 40 clients for our combined solutions. These great achievements are in addition to significant progress in our 3 key investment areas for 2022. First, we continue to enhance our go-to-market efforts with a key focus on sales effectiveness, client delivery capacity and efficient digital acquisition. In Q4, we saw more than 100% year-on-year increase in pipeline creation by our global sales team and continue to see strong ROI of our investment in our digital marketing efforts, with more than 65% year-over-year increase in marketing sourced deals in our travel vertical alone. Our strong track record of LTV to CAC, combined with our proven unit economics continue to give us confidence in our go-to-market investments. Second, we continue to expand our Flywire Advantage, part of our long-term vision to power the ecosystems in our core industries of education, health care, travel and B2B payments. As an example, following our acquisition of Cohort Go in July of last year, we have delivered new features and migrated the first wave of agent partners into the Flywire platform. We've leveraged Cohort Go's pay-any-school capability to allow Flywire agent the ability to pay a much broader set of educational institutions as they are no longer limited to sending tuition payments to only Flywire contracted schools. Educational agents, international students and client institutions all benefit from these investments, driving growth and further delivery of value to multiple stakeholders in the ecosystem. And our third key investment area was to strengthen and grow our FlyMates community. Flywire is committed to providing FlyMates a place where they can build their careers of a lifetime, and you see this reflected in the ways in which we invest in them and their career growth. We expanded and invested in our employee resource groups, which provides spaces for FlyMates to come together, connect around shared interest and foster meaningful conversations. We strengthened our internal mobility program called OneFlywire that focuses on upskilling and providing new opportunities for growth as well as training and education for our people managers. FlyMates attest that these experiences provide them with incredible growth opportunities, both personally and professionally. We are thrilled to continue to be recognized for our award-winning culture, including recently, where Flywire was named a Best Workplace in Financial Services by Fortune Magazine and a Top Place to Work by the Boston Globe. A lot of this is detailed in our inaugural Environmental, Social and Governance Report, which was released in December of 2022, whether through the work of our charitable foundation or through the community service trips our FlyMates embark on, we believe that being a force for good to be linked to generating growth and long-term value. We look forward to evolving our ESG efforts in 2023 and beyond. We truly had a fantastic 2022, and our team is quite proud of what we have accomplished. We've demonstrated that we can execute against our multiple growth levers to accelerate our business and have a proven track record of growing with existing clients, growing with new clients, expanding our partner ecosystem, scaling into new geographies and pursuing and integrating value-enhancing acquisitions. We also demonstrated our ability to be laser-focused on efficiency, investing in high potential ROI areas like targeted sales, new software functionality and network capabilities, while controlling costs in other areas like consolidating tools and vendor management. This is an important balance we continue to aim to strike and proves that we can deliver more value to clients than payers with efficient deployment of our resources. We are proud of what we have accomplished, but we are also excited for what is ahead for Flywire. As we look at 2023, we remain focused on investing in go-to-market, expanding our Flywire advantage and strengthening and growing our FlyMates community. First, we are working to optimize our go-to-market motion, to improve the effectiveness of our sales and relationship management teams and accomplish more with our recent investments. To enable this, we plan to continue to enhance our capabilities of our sales, relationship management, marketing and revenue operations function. We continue to refine our delivery capacity and follow through on our digital acquisition strategy. A key part of our focused go-to-market this year will be around accelerating our channel and technology partners across all verticals. We have over 80 technology integrations across our business and our ability to integrate directly with our partners makes the onboarding process and technology implementation faster, more efficient for our clients, further enhancing our defensible moat in the industries that we serve. For example, our channel strategy in health care with Epic and Cerner, 2 of the largest EHRs in the industry, enables us to embed deeper into the workflows of our clients, making us stickier within our accounts while also helping us accelerate new wins. This is a winning model for us, and we expect to see similar trends play out across other verticals. As for expanding our Flywire Advantage, we remain focused on product and payment innovation to power the vertical ecosystems in the industries that we serve. We have talked already about the success in our initiatives within education agents paying non-Flywire clients. We are also excited about the progress we are making in the 529 savings plan market. Flywire is now able to streamline and digitize the payment process for tuition payments from 529 plan even if the recipient is not a Flywire client. And we are making great progress in payer services, bringing new solutions to market that provide benefit to the various stakeholders in our ecosystems. These payer services are adjacent TAM expansion opportunities, and we believe they can enhance the lifetime value of our payer and deliver value for Flywire over time. Lastly, we will continue to be focused on strengthening growing our FlyMates community. We will continue to provide our globally distributed FlyMates the resources they need to succeed. We will continue to support and develop top talent while finding opportunities to streamline internal processes, helping Flywire scale across all disciplines. Our FlyMates have always excelled in execution. It is one of our core values, and they deserve the opportunity to be freed up from unnecessary and cumbersome tasks. We are in a strong position to keep investing in our FlyMates and particularly around the areas of learning and development, well-being and diversity, equity and inclusion. I now wanted to spend a few minutes reviewing the trends we are seeing across our verticals and geographies, which is giving us even more confidence in our plan for the year and for the long term. Across higher education, where we benefit from a geographically diversified business, we are continuing to see positive student mobility trends across the world. For example, according to the Australian government, Australia has issued more than 120,000 visas to international students since borders reopened. And student visa grants for January to September 2022 were the highest ever, while working holiday visas also surpassed 2019 levels. Additionally, according to the 2022 Open Doors Report on International Education Exchange, the United States saw an increase of 80% year-over-year in new international and student enrollment in the 2021-2022 academic year, a return to pre-pandemic levels. Overall, we remain optimistic about international education and confident in our ability to keep winning clients and delivering value to students and families around the world. In health care, we continue to see hospitals and health systems prioritizing their revenue cycle management as the patient financial crisis accelerate. And according to our recent report, 90% of health care CIOs surveyed, say patient collection is a key metric their job performance is measured against. We are continuing to expand our software capabilities to help address these market challenges and enable these hospital executives to meet their goals. In travel, there continues to be strong momentum in the subsectors we support. Our clients consisting of travel operators, destination management companies and accommodations providers benefit from outsized demand from travelers for luxury travel experiences. According to our Annual Travel Survey, more than 80% of luxury travelers surveyed said they're spending more on travel in 2023 compared with what they spent in 2022. And 84% say their vacations this year will be longer than those they took last year. We are also very encouraged about AEGIS reopening over the prior few months and expect to see strong growth from clients in Southeast Asia as well as continued growth in travelers from China and Japan. And lastly, in B2B, our largest market size opportunity, we are seeing success with our go-to-market efforts and ability to support major enterprise software systems like NetSuite and Salesforce. As finance professionals continue to view their ERP as their single source of truth, we believe we have a major opportunity to help them augment their ERP deployment, when it comes to receiving payments. In a recent survey we conducted of global finance professionals, we found that as companies scale, they have challenges collecting global payments within their ERP systems. These challenges include invoicing in local languages and acceptance of multiple currencies, negatively impacting their DSO. Importantly, 89% of those surveyed said they think they could save money if more of the cross-border receivables processed was integrated into their ERP system. This is exactly the use case that Flywire is able to address. In closing, I cannot be more proud of the progress we made in all areas in 2022 and more excited for the year ahead. I would now like to turn the call over to Rob Orgel, our President and COO, to review some operational highlights from the quarter. Rob?
Rob Orgel: Thanks, Mike. Good afternoon, everyone. Our strong results this year reflect continued execution of our growth strategies, carrying forward what was an excellent 2022 of execution and delivering results. After a significant investment year in 2022, we are working to scale our business efficiently as we move through 2023. We will focus on leveraging the incredible talent added to the company last year in this year's efforts. In terms of the core business, we will focus our teams on revenue growth and efficiency initiatives across our business. In terms of our innovation areas, such as strategic payables and payer services we are focusing on advancing revenue generation from these areas. There will be some hiring in 2023, but it is expected to be narrowly focused on areas of greatest need and highest return on spend. All in, the run rate spend added in 2023 is expected to be at least 60% less than last year's expansion, and that is into a much larger underlying business given the over 55% currency-neutral growth in 2022 that Mike referenced in his opening comments. As you will see further when we get to the guidance discussion, our strong underlying business and a focused and disciplined plan for 2023 position us for our forecasted adjusted EBITDA improvement in 2023 and also for continued growth and improved efficiency in 2024. Turning to the business performance in Q4 and 2022, we continue to see good results in 2 important metrics of our go-to-market performance. First, we grew existing clients with our NRR continuing for full year 2022 at 124%, supported by client volume growth and expansions and despite the offsetting impact from the FX headwinds we faced in 2022. In terms of new clients, we added over 145 new clients in the quarter, continuing our strong quarter-by-quarter performance through 2022. To highlight how we plan to continue this success, I'd like to highlight our 2023 strategic direction for our 4 verticals, share some of the exemplary 2022 successes, and then in a few minutes, mention other operational achievements that are important to our overall efficiency and scalability. Starting today with education. In 2023, we will continue to drive growth in our core markets as well as targeted newer markets. We plan to continue to focus on moving as much of our clients' total payment flows as possible, both international and domestic. That strategy, including continued success with our full suite solution is core to our strong NRR and simultaneously drives client loyalty and satisfaction. We will invest to improve our global payment network with carefully selected international and domestic payment capability improvements. This strategy around managing domestic and international flows has worked for us in many of our most important global markets, and our teams are focused on its continued success. Second, we are focusing on effective collaboration and great integrations with partners like Ellucian and Tribal as well as many others. Finally, we are continuing to focus on excellence in execution in key payer markets like India and China, where our work with agents and pay-any-school capabilities are proving very effective. Finally, we will continue our efforts to drive commercialization of our strategic payables as described back on our spring Analyst Day. St. Louis University exemplifies our continued growth with existing U.S. clients. SLU, founded over 200 years ago, is one of the nation's oldest Catholic universities and home to over 13,000 students. Flywire originally signed SLU in 2015 to support their cross-border students. However, after years of growing with them as a client, we have recently expanded our product offerings by launching our full-suite comprehensive receivable solution. This will help provide flexible extended payment options to families as well as help facilitate repayment options for students who have fallen behind. We are also building our client base in newer markets. For example, we recently leveraged our integration with AdaptIT, a leading South Africa-based software provider for the higher education sector to sign the University of Johannesburg. This is a public university in South Africa with a student population of greater than 50,000, of which over 3,000 are international students from 80-plus countries. Flywire is supporting the University of Johannesburg with our cross-border payment solution. Overall, we remain excited about the opportunities to expand in South Africa, which has over 25 public universities and over 40 private universities hosting over 45,000 international students per year. In terms of our most recent acquisition, we have efficiently integrated Cohort Go into our education vertical. Cohort Go brought us the ability to pay over 2,400 incremental schools globally. And since the acquisition, education agents at Flywire's existing network have paid over 450 non-Flywire schools. We are working to grow our pay-any-school capabilities and look forward to welcoming an expanded set of institutions into our ecosystem in 2023. This, in turn, aids our education sales team in building a strong pipeline of new potential clients for our international cross-border and domestic education solutions. Our agent solutions platform enables agents to have a single place to track all of their students' tuition payments regardless of the school being a current Flywire client or not. Additionally, we are on track with integrating Cohort Go's insurance cross-sell platform into Flywire's agent platform for the beginning of the second quarter of 2023, adding another cross-sell dimension to the acquisition, all in line with our original integration plan. With regard to WPM, we have passed the 12-month mark since the acquisition. We signed 8 new schools during the fourth quarter for a total of 41 at the end of the year and 8 schools went live on the integrated WPM and Flywire solution during the fourth quarter. This includes Sheffield University, which has over 11,000 international students and went live with Flywire's international and domestic card solution within the WPM integrated payment platform. Moving on to health care. Our health care vertical enjoyed many successes in 2022, including delivering incredible results for our clients and also used 2022 to position itself for, what should be, an even better 2023. We signed over 15 new clients and expanded services with 22 existing clients during the year. We expanded in a variety of ways, which include bringing on new hospital facilities and cross-selling additional products. We are seeing momentum in our pipeline, driven by implementing our go-to-market approach and creating dedicated teams to sell into Cerner and Epic ecosystems. Our partnership with Cerner supports our ongoing expansion with Munson Healthcare. Munson is Northern Michigan's largest and leading health care system serving the region's 540,000 residents. Due to our track record of facilitating increased collections through our digital self-service strategy across 30-plus Munson practices, we are now slated to integrate 44 incremental practices at Munson's central business offerings. To give another example, Advent Health, a faith-based nonprofit health care system headquartered in Florida, with an integrated network spanning 46 hospital campuses across 9 states, leveraged our expanded integration into Epic EHR system as they went through a system consolidation process going from multiple EHRs to consolidating on that. Flywire's ability to integrate with multiple EHR systems helped Advent operate in a hybrid environment during the transition process. We look forward to continuing our work with Advent. In our travel vertical, we are going from strength to strength. Following seasonally high volume from European destination management companies over the summer, we enjoyed record setting revenue in the Asia Pacific region in Q4 as the region reopened post pandemic. Our travel revenue in the Asia Pacific region in Q4 2022 alone exceeded 80% of our revenue for Q4 2021 for all of our travel verticals combined. This was driven by our strong client acquisitions in Asia, some of which we highlighted on our prior call. Our software integrations with leading online travel booking and reservation systems such as RoomBoss, Beds24 and WooCommerce, enabled many of our APAC customers to onboard in a self-service manner with minimal consultation required. Our past investments in building out software integrations with leading regional systems of record and travel vertical help us efficiently acquire new clients across geographies. Highlighting our success with enterprise clients, we were able to leverage our partnership with the American Resort Development Association as well as our partnership with SPI Software to sign Viva Wyndham. Viva Wyndham has been developing and managing 8 resorts in the Dominican Republic, Mexico and the Bahamas for over 35 years. We are also pleased with the growth of our B2B vertical. We are expanding our integrations with leading ERP systems of record to drive higher adoption of our invoicing and AR collection solutions. For example, last week, we announced our recently completed integration with BrandConnect, a market-leading franchise management software provider for over 1,500 brands looking to grow their business, both domestically and internationally. Flywire is the preferred payments provider on the BrandConnect platform. BrandConnect is expected to expand Flywire's B2B payments platform through its marketplace to enable franchisers to easily collect royalties and fees from franchisees in different currencies around the world. An example of a restaurant franchise client we are working with is Dickey's Barbecue Pit, the world's largest barbecue concept. Dickey's was founded in 1941, and is headquartered in Dallas, Texas, with over 550 locations across the United States and 8 other countries, including Brazil, Japan and Singapore. Dickey's continues its international push, having announced plans to develop 65 new locations in Canada and 40 new locations in the Philippines. Jim Perkins, executive vice president of international development and support at Dickey's had just to say about the relationship with Flywire," My experience with global remittances before Flywire was characterized by payments being a number of days late, being hit with hidden fees and managing a difficult reconciliation process. Working with and incorporating Flywire as the payment option has been a productivity improvement for my partners, as well as a clear path to timely and financial clarity for all involved." We look forward to supporting Dickey's on their global expansion efforts. We also continue to strengthen our channel partnership strategy in our B2B vertical. We announced a partnership with Huntington Bank last quarter, the 15th largest bank in the U.S. with $178 billion in assets and nearly $6 billion in annual revenue. Based in Columbus, Ohio, Huntington has thousands of clients throughout the Midwest, Southeast and we will work with Huntington to find ways for Flywire to serve them. Stepping out of our verticals and moving to highlight our efforts towards efficiency and scale. One example of our recent progress is that we launched the first instance of our AI chatbot for our customer support function at the end of the fourth quarter. Our overarching goal with the launch is to significantly reduce the assisted payer interaction volume of our high-quality payer support. We'll be adding more API enabled support for the chatbot as this automation enables our customer support team to achieve faster inquiry resolution, scale efficiently and focus their time and attention on more complex client needs. This is just one of many areas where we are aiming to use automation and analytics to drive more efficiency in the business. Overall, you can see we had a strong year and another very active quarter with Flywire's global team of FlyMates doing great work across our verticals and across the company to end the year. I would now like to turn the call over to Mike Ellis, our CFO, to review our results for the fourth quarter and full year as well as our guidance for Q1 and 2023. Mike?
Mike Ellis: Thank you, Rob. Good afternoon, everyone. Today, I'll provide a quick recap of a great 2022 and an overview of our excellent results for the fourth quarter. I will then discuss our outlook for full year 2023 and Q1 2023. As a reminder, today's discussion includes non-GAAP financial measures. Please refer to the tables in our earnings press release for a reconciliation from non-GAAP to the most directly comparable GAAP financial measure. For full year 2022, we reported revenue less ancillary services of $267.1 million, representing an increase of $86.0 million in absolute terms and a 47% growth rate. Foreign exchange headwinds meaningfully reduced our revenue and revenue growth rate during 2022. Specifically, on a constant dollar basis, our growth rate would have been 55%, representing a full year 2022 FX headwinds of approximately $14.2 million. In addition, despite our record investment year, we generated adjusted EBITDA of $14.9 million, essentially right at the midpoint of our revised full-year guidance but well above the full-year guidance we provided at the start of 2022. Moving on to our Q4 2022 results. Revenue less ancillary services was $67.4 million, representing a 47% growth rate compared to Q4 2021. The FX headwinds also meaningfully reduced our revenue and revenue growth rate during Q4 2022. Specifically, on a constant currency basis, our revenue growth rate for Q4 2022 would have been 57%, representing an FX headwind of approximately $4.6 million during the quarter. However, compared to our guidance provided in November 2022 for Q4 2022, FX changes resulted in a tailwind of over $1.0 million. Our revenue growth rate was driven predominantly by an increase in total payment volume, particularly due to strong growth from our international cross-border payment volumes in our education and travel verticals. We processed $4.1 billion in total payment volume during Q4 2022, which was an increase of 29% from the $3.1 billion we processed during Q4 2021. Specifically, transaction revenue less ancillary services increased 49% compared to Q4 2021 driven by a 34% increase in transaction payment volumes. Platform and usage based fee revenue increased 35% compared to Q4 2021 driven by a 10% increase in platform and usage-based payment volume as well as nonpayment volume-related increases in SaaS-based and other platform and usage-based fees. Moving on to adjusted gross profit. I'd like to start by outlining the change in our methodology for reporting on adjusted gross profit and adjusted gross margin. And note 2 onetime items that impacted Q4 and the full year 2022. We have revised our methodology for calculating adjusted gross profit and the result of adjusted gross margin to add back depreciation and amortization costs included in cost of revenue. We believe adding back these noncash items enhances the understanding of the company's operating performance and enables more meaningful period-to-period comparisons. The 2 onetime items reported during Q4 are: first, accelerated amortization of a specific health care technology asset as we consolidate platforms; and second, a onetime charge in Q4 that related to a delayed and distributed invoice from payment partner. During Q4 2022, based on the revised methodology, we generated $44.5 million in adjusted gross profit, representing a 40% increase compared to the $31.8 million reported for Q4 2021. Adjusted gross margin was 66.0% for Q4 2022 compared to 69.3% for Q4 2021, representing a decline of approximately 325 basis points. Under the previous methodology, adjusted gross profit was $41.5 million for Q4 2022, representing an increase of $10.8 million or 35% from $30.7 million reported for Q4 2021. Adjusted gross margins were 61.6% and 56.9% for Q4 2022 and 2021, respectively, representing a decrease of approximately 530 basis points year-over-year. As we have stated during previous quarter earnings calls, the decrease in adjusted gross margin during Q4 2022 was primarily due to the growth of our travel and B2B verticals. Credit cards are especially popular in the travel and B2B verticals, and these verticals strong growth in the quarter led to higher overall credit card mix. These transactions have good unit economics, but lower adjusted gross margin that reflects their higher monetization offset by higher processing costs. The impact of the onetime items under the previous methodology was a reduction of approximately 220 basis points related to accelerated amortization and a reduction of approximately 45 basis points from the delayed disputed invoice from the payment partner. The accelerated amortization gets excluded in the revised methodology. Two things I would reiterate, number 1, we prioritize adjusted gross profit generation growth over resulting adjusted gross margin; and number 2, our spreads have remained relatively consistent and stable over the last 7 reported quarters. Finally, under either metric, we delivered an adjusted gross margin for the year within the adjusted gross margin range we provided during our Analyst Day during May of 2022. Moving on to operating expenses. Technology and development expenses were $12.7 million for Q4 2022, an increase of 40% over the $9.1 million incurred during Q4 2021. The increase was primarily the result of adding FlyMates to our engineering and technology team since Q4 2021, which drove increases in employee-related costs, including stock-based compensation, consistent with our plans going into the year that we would be investing in this area. Selling and marketing expenses were $20.3 million for Q4 2022, an increase of 28% over the $15.9 million incurred during Q4 of 2021. This increase was driven by adding FlyMates via direct hiring and our 2 acquisitions since Q4 2021 into our sales and marketing teams, which drove increases in employee-related costs, including stock-based compensation. In addition, we incurred more costs associated with third-party commissions as a result of our revenue growth during Q4 2022 compared to Q4 2021. General and administrative expenses were $19.9 million during Q4 2022, an increase of 14% over the $17.5 million incurred during Q4 2021. This increase was driven by adding FlyMates across these functions, which include costs associated with our client and payer service teams, resulting in an increase in employee-related costs, including stock-based compensation. In addition, we incurred more costs associated with soft compliance as well as other costs associated with operating as a public company. Adjusted EBITDA for the quarter was $1.0 million, an increase of $2.7 million over the negative $1.7 million reported for Q4 2021. Our adjusted EBITDA margin increased over 500 basis points in Q4 2022 compared to Q4 2021 due to strong adjusted gross profit growth, offset by increased operating expenses as discussed previously. Moving on to the balance sheet. With respect to capitalization as of December 31, 2022, we had $349 million in cash and cash equivalents and no long-term debt. As of December 31, 2022, we had 109.3 million shares of common stock outstanding, which is slightly different from the weighted average shares outstanding used to calculate net loss per share due to the timing of shares issued during the quarter. One last item on 2022. While we plan to get our 10-K filing out tomorrow, it turns out a little more time is needed to complete the required SOX 404(b) documentation process for our first year as a large accelerated filer. If we were not subject to SOX 404(b), we would have filed on time. Therefore, we will be filing for the standard 15-day extension and expect to file our Form 10-K within the 15-day extension period. Moving on to guidance, 2023. We expect revenue less ancillary services to be in the range of $353 million to $354 million for full year 2023, representing a 34% revenue growth rate at the midpoint. Our full year 2023 expectations reflect an organic revenue growth rate of 31% with the annualization of Cohort Go representing the remainder. This guidance is based on foreign exchange rates as of 12/31/2022. With respect to adjusted EBITDA margin, we expect to deliver a 300 basis point increase during full year 2023 compared to the reported adjusted EBITDA margin for 2022 in spite of expected continued FX headwinds. Adjusted EBITDA is expected to be in the range of $28 million to $34 million. We expect 2023 to be a year in which we show scale, while at the same time investing in sales and marketing and other key roles as we continue to deliver strong revenue growth across the verticals in which we operate. For Q1 2023, revenue less ancillary services is expected to be in the range of $81 million to $85 million, which represents a year-over-year revenue growth rate of 40% at the midpoint. This guidance is based on foreign exchange rates as of 12/31/2022. With respect to adjusted EBITDA, we expect Q1 adjusted EBITDA to be in the range of $3 million to $5 million, which at the midpoint represents a $2.1 million year-over-year increase compared to our reported adjusted EBITDA for Q1 2023. At the midpoint, our adjusted EBITDA margin approximately 4.8%, which represents an expansion of 158 basis points year-over-year compared to Q1 2022. We expect to deliver adjusted EBITDA margin expansion in each quarter of 2023. However, due to the seasonality of our business, adjusted EBITDA margin expansion will vary by quarter, but are forecasting a 300 basis point increase for the full year of 2023. In conclusion, we executed very well and are pleased with our financial results for 2022. We are optimistic about our expected 2022 results due to the resiliency of our verticals and the strong underlying economics of our business. With that, I'd like to turn the call over to the operator for questions. Operator?
Operator: [Operator Instructions] The first question is from Dan Perlin of RBC Capital Markets.
Dan Perlin: I wanted to -- I just wanted drill down a little bit on the guidance for the moment in the range that you guys gave. What kind of assumptions are you making in terms of expectations from a macro perspective? And then, how much is kind of predicated off of, I guess, just what we might consider to be kind of like noncyclical growth from net new clients and things of that nature that are rolling on the system where you have good visibility today relative to just kind of the volume-based business?
Mike Massaro: Dan, thanks for the question. This is Mike. Obviously, we operate in markets that we believe traditionally have been quite resilient in kind of economic uncertainty or downturns. Our modeling for this year, obviously assumes these industries will continue to be resilient. People may remember we do our model builds kind of bottoms up. It starts with that strong net revenue retention number. That's the existing client number, as you mentioned, have good visibility kind of into those numbers and that strong client adds that we have there and how we can grow that revenue. And we obviously kind of add on top of that NRR. So you can look at the supplement material, there's a great NRR diagram in there as well. And then kind of look at where we finished FY '22 for new client signs, another kind of record year for us. So that's another good indicator, right? So NRR plus new clients going live -- and then we -- it is clearly critical in our model that we get these clients live, right? That's how you actually realize that revenue. So that's a big focus and obviously an assumption baked into the model for '23. And then you can also look at our pipeline numbers that we shared on the call earlier, where we're actually seeing pretty good growth in that pipeline, right, again, leading to confidence in 2023 client signs. And there isn't a huge part of revenue in a given year, as you're aware, that comes from net new client wins in that year, but that's another good indicator that helps in our model assumptions for growth. To just cover a couple of other assumptions, FX rates, our assumption is 12/31/22 rate stability and that will do what it does, and we'll continue to be very transparent in that regard. Our assumptions around APAC travelers and students, we said prior that we've kind of assumed this rolling recovery throughout 2023. That's kind of consistent for us as we've been dealing with all types of recovery from the pandemic. And so you can expect our modeling for 2023 to assume the similar kind of approach. We're not really assuming there's anything kind of extreme or massive change in the world, whether positive or negative. Obviously, that could have some downside or upside to the range, but obviously something we can't really predict. And the last comment, I guess, I'd make on just assumptions in how we modeled for the year. The thing that probably makes us most proud about the business that we have is that we have these multiple levers for growth. And quarter after quarter, you've seen us whether it's industry growth, whether it's product expansion, whether it's a geography that we've added or expanded, those levers that we have give us a lot of confidence as we look at our modeling for the year. But hopefully, that gives you a little context as to what the assumptions are in the model and how we're looking at '23.
Dan Perlin: Just a quick follow-up on kind of the concept of expanding the Flywire Advantage. You mentioned a few times here kind of your ability to effectuate payments, but yet not have them as kind of Flywire, I guess, payment clients yet for schools. And I think you mentioned Cohort Go and then you also mentioned in the context of 529 savings plan. So my question, I guess, is that sounds like it's becoming a little bit of a bigger opportunity for you. I'm just wondering, how do you envision that building over time? Is your expectation that you're going to convert those over directly to Flywire payments within that -- within your network? And is that just like purpose built to build a much bigger funnel for your opportunities, going forward?
Mike Massaro: Yes. Sure thing. Mike, again. You’re exactly right. I mean one of the things we noticed, not only in the agents business, including the Cohort Go acquisition, but also the Flywire agent relationships we had prior to Cohort Go and in the 529 aspect. When we look at kind of enabling the broader vertical ecosystems in education, it’s kind of those connection points that people find really important, right? So if you think of agents helping a student or a family make a payment and then also that flowback of potential commission dollars, that’s an interesting part of an ecosystem, right? And so by being able to deliver a solution that not only streamlines the payments to our existing clients that we already have, but also sits there and says, “Hey, we’ve enabled this now where you can actually make these payments and we can help streamline them into other institutions we’re not yet working with.” That actually gives us an opportunity to revisit that conversation with those institutions we’re not yet working with. So already have a proven track record of being able to turn some of those into clients and we’ll continue to use that as a lever. And the 529 is just another great example of that, right? Like as you look at the problem we solve, right, think of our position, we can now go to not only our clients, but even institutions that haven’t yet decided to work with us, and say we’ve solved this, right? And we’re already helping drive value with our solution and they can come to us and say, “Geez, I thought they could do more. So it’s a great lever to fill that top of the funnel and just a way in which we look at the ecosystems and expanding our focus on them.
Operator: The next question is from Jason Kupferberg of Bank of America.
Jason Kupferberg: Maybe just starting, I wanted to actually come back to that chart, Mike, that you referenced in the deck, I thought that was pretty helpful on the NRR side. I mean how should we think about the potential for the NRR in the business in 2023 relative to 2022?
Mike Massaro: You want to [indiscernible] Rob?
Rob Orgel: Sure, I can jump in here. Hi, Jason. So NRR has been something that we've shared in, I think, every call now since we started, we've given you the annual figures, and you can see that the figures for this year once again are coming in, in the range that we've been sharing, and we've been guiding as sort of part of that 3-year average. We expect that there are sort of all the levers available to us to continue in that vein very much going forward. So when you look at geographic expansion, new product adoption, the ecosystem expansion, things like the 529 that we just talked about, all of those drive towards that same NRR. And so again, we see super positive results, stepping in just a little bit more operational. I think we continue to do what we've always done really well, which is serve our clients and deliver great results. And with that, we're continuing to earn the right to do more and more for them. And examples like St. Louis University that I quoted earlier, that's a client that many years later, chooses to do a major expansion with us, and that will be a client for which we'll see improved revenue opportunity. So net-net, expecting to see things very much in the spirit and that all is a main contributor to the growth algorithm for the company.
Mike Ellis: Yes. The only thing I would add, this is Mike Ellis, is that don't forget that the FX headwinds that we experienced during 2022 are, in theory, not going to be as significant in '23. So we remain bullish about our NRR prospects for '23.
Jason Kupferberg: And just any comments around free cash flow expectations for 2023?
Mike Ellis: This is Mike Ellis. So we have not guided on a free cash flow basis, but I can tell you that from a free cash flow standpoint, some of the areas, where we have capitalized cost, most simply, you think of the build-out of offices or computer equipment for our FlyMates. In addition to that, think of capitalized R&D development costs associated with internal software and then also in accordance with general accepted accounting principles, some of the capitalized sales commissions which get amortized. It's something, Jason that I'm happy to consider in the future, relative to disclosing what free cash flows would potentially look like for the business.
Jason Kupferberg: But no, like big items pending that are worthwhile calling out?
Mike Ellis: No.
Operator: The next question is from Ashwin Shirvaikar of Citi.
Ashwin Shirvaikar: Good results, guys, congratulations. I wanted to ask about sort of the range of outlook that you've provided, what combination of factors might drive sort of the lower part of the range versus the upper part of the range? And in terms of just specifically the upper part, given you do have kind of a tendency to do better? Are there factors that are kind of external such as timing of new clients, M&A, things like that, that are embedded there? Or is it all organic and powering through with NRR and such?
Mike Massaro: Hi, Ashwin, it's Mike. So I'd go back and highlight a bit, we have pretty good confidence in the range that we put out there, obviously, because of the NRR, because of the new client signs we had, a record last year. And then on top of that being the strong pipeline numbers that we just reported. And so, from that is really where we get the confidence in the organic elements of it. Obviously, we're not making any big assumptions around inorganic moves. There's some lagging of the cohort numbers and that will obviously hit mostly Q1 and Q2, but it'd be a relatively small component of the growth. And when you really look at where could our performance come, I'll highlight a couple of areas. I mentioned that rolling recovery -- and I think it's the right thing to do as we model this business. You saw us do it in '21. You saw us do it in '22 as the world was recovering in different regions and different industries at different times. And we've made those similar assumptions. So again, if you see the APAC region, not only from a destination perspective for travel, which '23 is really the first opportunity for that region to come back as a tourist destination, right, didn't really happen in '22. So that's a good example of where that could happen faster than we think and potentially provide some upside similar in student numbers, right, good indications from places like Australia, and some of the traveling coming out of China. But at the same time, we've made assumptions that has -- that is kind of a rolling recovery through the year. And so we encourage people to really just remember the cyclicality of the business. And you could see our performance in, obviously, travel and the international student side. And B2B, for that matter, really seeing some great traction in the pipeline build in B2B. So that's what I'd highlight as potential areas there.
Ashwin Shirvaikar: And in terms of just EBITDA margin, you're obviously getting to -- close to upper single digits, I think, at the middle of the range, if I'm not mistaken. And that's kind of on track with what you said what you said before. But underlying that, if you could talk about the key areas of investment that you're continuing to make, what are those areas? Maybe if you could potentially even size that -- those investments? Are those kind of -- would you consider those discretionary and you're doing them because you can -- can they be turned off, should macro get worse, things like that? If you could comment on that flexibility?
Rob Orgel: Yes. Ashwin, I’ll step in here and start. This is Rob. What I outlined in my comments was a plan for the year that involves significantly less hiring, significantly less investment than in 2022, but at the same time continuing to selectively add people, where they are most valuable to the business. That will take primary form in terms of continuing to invest in go to market. We have this incredible opportunity in front of us, and we want to continue to invest in that. We need to add sales reps to cover expanding quota and ARR expectations that we need to ulfil. So that’s a pretty significant charge. And then there’s very carefully placed roles that are important to us as we scale the company. But what you see overall is restraint in adding people and restraint in nonpersonnel expense that is also built into our plan. And obviously, if the world is a very different place than the one we’re planning on, we do have the ability to alter our plan, but the plan that we have is one that we think puts people in the most important spots. And again, with sort of 66 – sorry, sorry, more than 60% less in-year expense against a company that’s 55% bigger in constant dollar terms. We do hope that what you’re seeing in this is an impressive step towards scale and efficiency that is built into this plan.
Operator: The next question is from John Davis of Raymond James.
John Davis: Actually, Rob, I wanted to follow up on that a little bit -- or Mike, too. But if we think about it, obviously, you've made significant investments in 2022 and some of those kind of [lab] you hired throughout the year. So as we kind of go into '24, all else equal, could we see a step up in kind of the margin expansion, obviously, the midpoint is 300 basis points this year. But just trying to think -- I mean, if we go back to Analyst Day, you guys talked about 300 to 600 basis points a year. I appreciate the 300 this year. But just trying to think about like how we see the cadence going forward. So any comment there would be helpful.
Mike Massaro: Yes, J.D. Thanks for the question. So obviously, we're not quite ready to talk about 2024 yet in terms of specific numbers. But you're right in calling out that as we look at this year's plan, we had a significant amount of annualization expense of the investments that we made last year that roll into this year. And obviously, that all factors into the plan that we presented to you and the guidance that we've given today. If you look at the effect of this year's hiring on 2024, it will be significantly lower. And so in terms of sort of that base that rolls, it will roll way less into next year. Now where we choose to go with that, we'll update you on a little bit later in the year because obviously, we've got to lay out our 2024 plan for you when the time is right. But yes, we understand your point around how essentially, there's a lot of OpEx efficiency opportunity that comes from us hiring this year.
John Davis: And then I think yesterday, we got China's student visa update for January, and I think it was up pretty significantly, I think 150% over last year. Obviously, there was some Omicron issues and China is obviously reopening. But Mike Massaro, any comments on China reopening and what the impact is, kind of what you've seen quarter-to-date? Obviously, the 1Q guide is strong. But I'm just curious kind of what you're seeing out of China specifically.
Mike Massaro: Yes. I mean, J.D., we continue to be quite encouraged. I mean, we're seeing healthy revenue growth on China outbound volumes. I'd also say there's a lot of positive anecdotal statements, right? You're seeing internal travel numbers inside China get stronger. You're seeing flight numbers start to return. You're seeing a lot of good indicators. And so again, I think we made the right assumptions of this kind of rolling recovery. Remember, there's cyclicality to when students will start in Australia versus when they start in the U.K. and Europe and the United States. And so they don’t all show up at the same time, all the same times around the world, right? There’s that cyclicality that’s important to understand, and we bake that, of course, into our model. I’d also just highlight the impacts potentially for our travel business. It’s very positive as well, right? You have travelers that really in 2022 didn’t travel the world much. And so if you think of our client footprint and the success we saw in travel in ‘22, it was really heavy destination oriented to the U.S. and – the Americas and Europe effectively. And so now you’ve got Asia as a destination market, but you also have the travelers that were oftentimes heavily restricted leaving Asia, also hitting the other destinations where we have clients. So we feel really good with the trends we’re seeing. Again, you got to see how the year plays out, and we’re not expecting any significant change. We’re expecting this rolling recovery.
Operator: The next question is from Bob Napoli of William Blair.
Bob Napoli : Just wanted to follow up on the pipeline, the mix of the pipeline versus a year ago, I did miss the numbers you had at the beginning, but just any color on how that mix, what the size of the pipeline is? And have you seen significant changes in the mix, say, from a year ago by vertical?
Rob Orgel: Yes. Hi Bob, it's Rob. I'll start with this and others can jump in if they like. So pipeline overall growth number is super healthy. You heard Mike talk about the Q4 over Q4 100% growth, 70% growth for the sort of the full year as compared to prior. And so we feel really good that our investments in that sales team are yielding pipeline expansion and improvement. And so as it speaks to the verticals and the geographies, we are seeing a continued trend of the strength of Flywire's global business. So EMEA has been particularly strong for us. I'd say it has distinguished itself in terms of sort of the quantity of deals and ARR. The U.S., obviously, is also a major market for us continuing to see lots of deals across the verticals. I feel good about the ARR that we are signing on as well as the expansion of the pipelines across each of the verticals. So overall, I think sort of the last metric of that ilk, just to try to kind of give you the whole picture there, Bob, is when we look at the deal sizes, the deal sizes remain very healthy as well. We're actually seeing expanding deal sizes by our forecast ARR methodologies. And so we feel good about that dynamic that we're seeing in the market as well.
Mike Massaro: And Bob, this is Mike. The only thing I'd add is just great work by marketing and demand gen as well to fill the top of the funnel. That's another area that we get quite excited about as some of the comments earlier were about the building of that demand gen on the top of the funnel, too.
Bob Napoli: And then the follow-up, just the competitive environment, your win rate, I mean, obviously, nice revenue retention. I appreciate that chart. But any comments on competitive environment win rate? Any your thoughts on churn. I mean, as you're getting much bigger and lapping, I mean some -- you probably get some churn. But just anything on that point.
Mike Massaro: Yes, Bob, this is Mike. No big shift in competitive dynamics. We feel like we compete well. As folks probably know, we compete in the verticals, not really across verticals against many players. And so we feel like our investments in go-to-market have been good. If anything, we feel like we’re competing as good if not better than we have and continue to invest in that. We had mentioned – you mentioned churn, we’ve mentioned previously that we’ll be lapping some of the churn from health care from last Q4. And so feel good to be there, but it is, in general, low overall, not a lot of revenue concentration as we’ve talked about as well in the business at any given one client.
Operator: The next question is from Darrin Peller of Wolfe Research.
Darrin Peller: A couple of quick ones. Just one is on the margin outlook and the opportunities there. I know that you obviously are within that 300 to 600 basis point range, and you talked about there, potentially, even before, this being a little on the lower end just as you annualize all the hiring you did. So what's the structural? Like when we think about the annualizing impact, what's the structural profitability improvement that you see occurring in this year had it not been just for annualizing? And then, I guess, more importantly, your commitment to letting that profitability trend continue as well as obviously seeing not just on an adjusted earnings basis, but paying attention to stock comp and paying attention to a little bit more pure operating income.
Mike Ellis: It's Mike Ellis here. So essentially, most of our cost does come from the carryover impact of the investment year that we've had in 2022. And then you have -- what we're planning on 2023 doing. But essentially, it's the investment in our people. Really, as Rob indicated, that go-to-market strategy and to a lesser extent, our engineering and technical teams to kind of drive product enhancements, really trying to just wrap the entire Flywire Advantage in delivering to our clients. So that's where the most of the investment comes in, in 2022 and carries over into '23. Other than that, it really comes down to a normal operating cost business where you have your normal salary increases will have an impact. You have incremental revenue share agreements and commissions associated with the delivery of our revenue performance and then just your regular standard inflationary impacts.
Darrin Peller: Just one quick follow-up and probably more for Mike or Rob, but either one is fine. I guess when we think about the opportunity and the integration of some of the deal, basically, whether it's WPM or Cohort Go and what it's done for the business so far in terms of your expectations for '23. And I know, putting aside just the pure inorganic benefit, but I'm really referring to the revenue synergy opportunities to it. Just maybe you could touch on what's embedded, if anything, in there and how it's coming along.
Mike Massaro: Hi, Darrin, so this is Mike again. I would say the -- those 2 deals were not deals as you kind of highlighted, we did for the inorganic add benefit. It was -- there were strategic deals that fit kind of our 3 pillars we've talked about before. And as we've highlighted, are critical to future multiyear synergy really. So first, just starting in order WPM, 40-plus clients signed for the integrated solution. This year is about getting those clients live. I'm sure people will say, well, aren't you going to sign more? I'm sure we'll sign more. We're heading off to our big U.K. conference here in the next week or so, which is a great event, and we'll see a lot of those clients and talk a lot about how we're rolling out that integrated solution. So really excited about that, but I couldn't be happier with how we ended the year with the number of clients signed on to that integrated solution. The combined team in the U.K. is doing a great job working through that with the clients really coming together as a team. So couldn't be happier there. Shifting to Cohort, obviously, a little less time in July or so since that deal. So we talked on this call about our first step in the technology integration between the 2 platforms and getting all the kind of agent activity on one single platform. We talked about the pay-any-school capability that accelerates our ability to make more payouts. Those are all revenue increasing, revenue synergies for us. And then we also kind of gave out a bit of a nugget around payer services as well and just the fact that, that ties into expanding that Flywire Advantage and Cohort's really a cornerstone of that. And accelerating that across our entire payer base is another exciting part for 2023. So I feel really good about it. Our teams are really coming together well. I couldn’t be happier with how those deals went down in the integrations.
Operator: The last question is from Tien-Tsin Huang of JPMorgan.
Tien-Tsin Huang: Just on the -- building on Bob's question around pipeline and ARR. I'm just curious, '23, should we expect it to come more from upsell versus new clients? I'm asking, but I heard Bob, you say, deal sizes are up. So I wonder if we could see any risk of sales cycles or implementation cycles lengthening as we're also hearing enterprises. I'm sure schools thinking the same thing around being more careful around their spend. So just trying to understand those -- the interplay of all of that, if that makes sense.
Mike Massaro: Yes. Yes, Tien-tsin, let me see if I can try to sort of organize the pieces of the puzzle here. Remember, our growth algorithm, right, you're now well versed in it, but sort of that NRR is not really sort of subject to so much to the kind of dynamics you described, right? That is largely a function of our ongoing relationship and relationship building and there's some expansion in there, but that is mostly a function of just us keeping doing what we're doing for our clients. Then there's the full year growth of clients that signed last year. So those aren't included in the NRR, but they will have expanded revenue in the full year period this year. And then there's the new customer piece. And that new customer piece is the smallest of the 3 in our overall sort of growth formula. And so we're always paying attention to that. There has been, I think, general consistency around the sort of the patterns, especially around education, travel. We have very fast deployments around travel, those, as we said before, tend to range in a couple of weeks. I think the 2 areas where you're right, we have true enterprise class deployments in health care. They're hard. And we have seen occasions where those go longer than we expect. So there is absolutely sort of that possibility there. But again, it's inside the diversified business of everything we've got, that's really just sort of a piece of the puzzle, but not, I guess, I'd say, a determinative piece of the puzzle. So overall, we feel good about sort of the growth model that we've got here, and we'll tackle where we run into a little harder deployment here and there, but I don't think that's the -- don't look at that as sort of the major stressor of the year.
Tien-Tsin Huang: Just a quick follow-up, and I'll let you guys go. Just on the gross margin front. I know there's always puts and takes for that. Can you just walk us through what maybe the quarter and for the full year, what we might expect there?
Mike Ellis: Sure. It’s Mike Ellis here. Essentially, just as you’ve always heard me say, we’re really focused on driving adjusted gross profit dollars, but I will tell you that the reduction that we experienced in 2022 predominantly due to the transactional revenue growth outpacing our platform and usage-based revenue growth. And we do expect transactional to outpace in the 2023 year, but both growing nicely, but to a lesser extent. So as a result, we believe that adjusted gross margins will decline in 2023, but at a much lower percentage, somewhere in the 1% to 1.5% range is probably the right number to think about. And then the final thing I would just add relative to adjusted gross margins is just remember that there’s seasonality within that, right? So during Q3, a big educational quarter, big cross-border. So as a result, you’ll see the higher adjusted gross margins during the latter part of 2023.
Operator: We have reached the end of the question-and-answer session. I would like to turn the floor back over to Mike Massaro for any closing comments. Please go ahead, sir.
Mike Massaro: I know we’re a little bit over, but I just want to thank everybody for taking the time and spending time with us here and appreciate all the work going into learning more about Flywire. Thanks very much.
Operator: This concludes today's teleconference. Thank you for joining us. You may now disconnect your lines.